Operator: Good day, everyone, and welcome to today's Zevia's Second Quarter 2025 Earnings Call. [Operator Instructions] Please note, this call may be recorded. [Operator Instructions] It is now my pleasure to turn the conference over to Jean Fontana of ADDO Investor Relations.
Jean Fontana: Thank you, and welcome to Zevia's Second Quarter 2025 Earnings Conference Call. On today's call are Amy Taylor, President and Chief Executive Officer; and Girish Satia, Chief Financial Officer and Principal Accounting Officer. By now, everyone should have access to the company's second quarter 2025 earnings press release and investor presentation made available this afternoon. This information is available on the Investor Relations section of Zevia's website at investors.zevia.com. Before we begin, please note that all financial information presented on today's call is unaudited. Certain comments made on this call include forward-looking statements, which are subject to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on management's current expectations and beliefs concerning future events and are subject to a number of risks and uncertainties that could cause actual results to differ materially from those described in these forward-looking statements. Please refer to today's press release and other filings with the SEC for a detailed discussion of the risks that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. During the call, we will use some non-GAAP financial measures as we describe business performance. The SEC filings as well as the earnings press release, presentation slides that accompany today's comments, and reconciliations of the non-GAAP financial measures to the most directly comparable GAAP financial measures are all available on our website at investors.zevia.com. And now I'd like to turn the call over to Amy Taylor.
Amy E. Taylor: Thank you, Jean. Good afternoon, everyone, and thank you for joining our second quarter 2025 earnings conference call. We are very pleased with our performance in the second quarter. Net sales and adjusted EBITDA exceeded our outlook, and we made notable progress across our strategic initiatives. Over the last year, we've executed against our 3 strategic growth pillars to sharpen the Zevia brand and lay the foundation for growth. Zevia's position as the radically real option is clear, we are Soda Made Better. Our distinctive marketing is driving engagement, product innovation is resonating both with new and existing consumers, and we are expanding our distribution with strong sell- through across channels. All of this is in part fueled by our productivity initiatives that yielded $15 million in annualized savings, with more to come. I'm incredibly proud of what the team has accomplished over the last year. We are energized by a strong start to the summer, and I'm more excited than ever about our future. So briefly highlighting our financial results. For the second quarter, net sales grew 10.1% to $44.5 million. Adjusted EBITDA improved by $4.6 million to $0.2 million, marking our first profitable quarter as a public company. Turning to highlights on our progress across each of our strategic growth pillars from the quarter. Let's start with our first one, marketing. Our distinctive brand was brought to life through our national campaign, Get the Fake Outta Here in Q2, featuring household name crossover artist Jelly Roll. The campaign delivered record earnings impressions and the most shared and engaging content in Zevia's history, which contributed to double-digit growth in the quarter. And then over Memorial Day weekend, we launched Get the Fake Out of Summer, showcasing one of our newest flavors, Strawberry Lemon Burst, and our playful summer break food date. The summertime refreshment campaign features social and editorial media activations in conjunction with mega influencer posting and consumer content. Strawberry Lemon Burst is a hero flavor of the summer and a great demonstration of the more sugar-like taste experience that Zevia is delivering in our new flavors. So this is a good segue into our second strategic growth pillar, product innovation. Our new flavor launches featuring our enhanced taste profile are generating excitement and engagement and are delivering top-performing velocity. We are complementing our legacy classic soda flavors and more nostalgic launches with new on-trend food flavors. Strawberry Lemon Burst and Orange Creamsicle have been our most successful launches to date. On the heels of these best-ever innovation launches for our brand, we have expanded our pipeline with the launches of Peaches and Cream online and a second exclusive at retail, plus the return of our highly popular salted caramel flavor across channels. Our prettier and on-trend flavors provide an opportunity to appeal to a broader audience as we continue to focus on driving trial. With the launch of these new products, we have refreshed Zevia's packaging to bring distinctive flavors and great taste to life and to communicate our better-for-you positioning. Soda made Better is communicated on pack, along with several of the reasons to believe in Zevia's unique position in the category, zero sugar, zero fake colors, and zero fake sweeteners. And finally, regarding the portfolio, we rolled out a 12-count variety pack across the majority of our grocery and natural channel stores over the second quarter spring reset period, which is off to a great start at a very early stage. And in July, we introduced the new foodie variety pack, featuring Zevia's new Fruit Punch flavor among others at Walmart. We continue to surprise and delight new modern soda shoppers and loyal Zevia consumers alike with this accelerated pace of innovation. And lastly, our third strategic growth pillar is distribution. We've surpassed our historical peak distribution levels at retail, a significant milestone that underscores the impact of our efforts over the past year. We are pleased with the results of the spring retail reset and top accounts are performing at or above expectations. Improved shelf presence and new products drove sell-through nearly double-digit velocity on the quarter. And as we gain distribution, it supports our top priority, broadening our user base. Turning to channel-specific updates. We continue to perform well at Walmart. Our first variety pack is the top-selling Zevia SKU and the new foodie variety pack is off to a great start in its first few weeks of summer. In the grocery channel, we're encouraged by strong scan data and positive indicators across key retailers in terms of spacing and new SKU performance. In club, we're back on rotation in key Costco regions and performance has exceeded expectations. Zevia generated record same-store sales in every region on an apples-to-apples basis during the quarter, which we attribute in part to the positive response to our new more dynamic packaging design, which stands out in store and better communicate Zevia's positioning. In the drug channel, recent distribution gains make Zevia available in all 3 national chains with one partner testing Kohl's singles in 750 stores. In convenience, we're pleased with the initial response across a growing network of regional chains, and with regional tests at national players. It's still very early, but recent scan data indicates our performance is on par with larger and more established peers, which is encouraging and also an indicator of Zevia's potential in impulse channels. We will continue to be measured in our approach to convenience, working towards sustained success as we build our brand and our distribution network. There remains considerable opportunity to expand in-store distribution through legacy channels and of course, new store distribution across mass, club, and impulse channels. In closing, we're energized by the strong momentum across our brand and business and pleased to share that we are executing with focus and precision. Our marketing and product innovation efforts are delivering meaningful results, amplifying brand awareness, winning on taste, driving trial and repeat and supporting accelerated distribution gains. With clear growth drivers in place and solid execution across the board, we believe we're well positioned to capitalize on the strong momentum in the better-for-you soda category. And so with that, I'll turn the call over to Girish.
Girish Satya: Thank you, Amy. Good afternoon, everyone, and thanks for joining our call today. Our second quarter results clearly demonstrate the significant progress we've made over the past year. Fueled by strong execution, we delivered meaningful advancements across each of our strategic growth pillars. In addition to delivering double-digit top line growth, we've taken important steps to drive enhanced and enduring profitability. In addition to the $15 million in annual cost savings we have discussed, we have identified an incremental $5 million in cost savings in COGS and selling expenses, which we expect to begin realizing in 2026, bringing the total to $20 million. Turning now to our second quarter results. During the second quarter, we delivered net sales of $44.5 million, an increase of 10.1% as compared to the second quarter of last year. This strong growth was primarily driven by our expanded breadth and depth of distribution across channels, partially offset by increased promotional activity. As we continue to monitor the consumer and competitive environment, we remain agile in our promotional programming. Gross margin was 48.7%, which reflects an increase of 680 basis points compared to 41.9% in the second quarter of last year. This improvement reflects lower product costs and improved inventory management, partially offset by higher promotional activity and channel mix. The impact of tariffs were below where we expected and had an insignificant impact in the second quarter due to timing. Selling and marketing expenses were $13.4 million or 30% of net sales in the second quarter of 2025 compared to $13.6 million or 33.7% of net sales in the second quarter of 2024. Selling expense was $8.7 million or 19.4% of net sales compared to $9.3 million or 23% of net sales in the second quarter of 2024, a decrease of 7.1% while maintaining best-in-class customer fulfillment rates during the quarter. Marketing expense was $4.7 million or 10.6% compared to $4.3 million or 10.7% of net sales in the second quarter of 2024. The increase was primarily due to investments to drive brand awareness. We did shift some of these marketing dollars from the second quarter to the back half of the year, which contributed to our better-than-expected adjusted EBITDA performance. General and administrative expenses were $8.1 million or 18.2% of net sales in the second quarter of 2025 compared to $7.7 million or 19% of net sales in the second quarter of 2024. The increase was primarily due to higher variable compensation expenses and outside services, partially offset by our efforts to right-size the business and focus on growth-driving initiatives. As a result of the aforementioned factors, net loss was $0.7 million compared to a net loss of $7 million last year, an improvement of $6.3 million over the prior year. Adjusted EBITDA was $0.2 million compared to an adjusted EBITDA loss of $4.4 million in the prior year period. The $4.6 million improvement reflects accelerated savings from our productivity initiatives and a shift in the timing of marketing investments. As Amy noted, this was the first positive adjusted EBITDA quarter since we IPO-ed. Turning to our balance sheet. We ended the quarter with approximately $26.3 million in cash and cash equivalents and have an undrawn revolving credit line of $20 million. Now turning to our outlook. We continue to execute our strategic initiatives and feel good about the momentum in our business. That said, we are operating in an uncertain macro environment and remain prudent in our outlook. In addition, this outlook assumes that the current tariffs of 50% on aluminum remain unchanged. However, should tariff costs rise, this would potentially impact our COGS in 2026. As such, we are maintaining our full year net sales guidance in the range of $158 million to $163 million. Based on the additional benefit of cost savings in our productivity initiative, we now expect our adjusted EBITDA loss to range from $7 million to $9 million versus prior guidance of $8 million to $11 million. Turning to the third quarter. We expect net sales between $38 million and $40 million. We expect Q3 adjusted EBITDA loss to be between $3.4 million and $3.9 million, reflective of increased marketing investments and higher promotions in addition to the higher tariff-related costs. Note that our third quarter adjusted EBITDA guidance includes a $500,000 onetime charge within COGS related to the package redesign that Amy mentioned earlier. The cost of the repackaging design will largely be realized in the third quarter. We believe this packaging is more reflective of our new flavors and taste profile as well as our brand narrative and we're very pleased with the positive response to the new design. In closing, with a more efficient operating structure resulting from our productivity initiatives, we are enabling reinvestment into growth. Echoing Amy's comments, we believe the work we have done over the last year sets us up to capitalize on the growing better- for-you beverage category and deliver long-term profitable growth. I will now turn it over to the operator to begin Q&A. Operator?
Operator: [Operator Instructions] And we'll take our first question from Sarang Vora with Telsey Group.
Sarang Vora: Congratulations on a great quarter. Good to see positive EBITDA as well. My first question is on the sales driver. Can you give a little bit more color? There were a lot of positives in the quarter. Can you give a little bit more color on what drove the strong sales like channel fill-in versus existing channel, growth across existing channel? And also can you share the contribution of like new flavors that played in the sales growth?
Amy E. Taylor: Yes. Happy to, Sarang. Thank you. So we had a really nice balanced quarter, meaning growth came from several places. We grew both in dollars and in units. And of course, our new distribution at Walmart is contributing to that, but so did positive momentum in grocery, meaning that Zevia really benefited from the spring resets. We're just 2 months or so into the volumetric impact of spring resets, and that will continue to pay us back through the summer. But we gained space net-net and some retailers regained 12-pack distribution and then other retailers benefited from a brand block, more eye-level distribution. And then to your last point, new items drove incremental distribution. So distribution on the whole across major channels was a contributor to our growth. It's good to see us back at double-digit growth. Our new items are certainly contributing to growth, but it's very early days. As I mentioned in prepared remarks, our Strawberry Lemon Burst is a top 2 item across the board, and our Sprouts exclusive is the #1 Zevia item in sprouts. And so we think that's not only contributing to some of our growth, but also indicative of the flavor evolution and increased pace of innovation within our portfolio. We think that new items will continue to contribute growth. We have a little bit more Costco and specifically club business in the quarter than we've had in the past. We've talked about that being both regional and rotational, but that also contributed a little bit to the volume growth in the quarter.
Sarang Vora: And Girish, I had a question about the productivity initiative. Can you share more color on where you are seeing this incremental $5 million of productivity gains?
Girish Satya: Yes, absolutely. And as we mentioned in the prepared remarks, we continue to find efficiencies within supply chain broadly as we continue to simplify our product portfolio and our network as well. So we anticipate the incremental savings to sort of begin to be realized to a lesser degree in Q4 of this year, but really at the beginning of Q1 next year, first in COGS and then in selling and warehousing expenses in the sort of second and third quarters of 2026.
Operator: We'll take our next question from Bonnie Herzog with Goldman Sachs.
Ethan David Huntley: This is Ethan Huntley on for Bonnie Herzog. Maybe just one here on your guidance. So you maintained your top line guidance of $158 million to $163 million. But if you include your Q3 guidance, I think that actually implies Q4 might be flat to slightly down. I'm just curious if you had any more puts and takes there. I understand the macro environment is challenging. But I guess anything else that might be driving that more cautious outlook towards the back end of the year, that would be great.
Girish Satya: Yes, of course. Thanks, Ethan. I think it's really 2 things. One, as we alluded to in the earlier remarks, we continue to see -- although we continue to see strength in our distribution gains and strength in some of our trends, we are a little bit cautious about the overall consumer. And as we think about Q4 of this year, we are lapping a very substantial Walmart pipeline fill, which is -- which we've addressed in previous calls as well. And so I think really, as we think about Q4, being relatively flattish would make sense given that the substantial nature of that pipeline fill.
Ethan David Huntley: And then maybe just as a follow-up one here on tariffs. I think you mentioned that the tariff impact was maybe below expectations in the quarter, but that seems timing related. So I guess just curious how we should be thinking about tariffs moving forward. I think you mentioned previously they could be a 200 basis point impact to gross margins. Is that still a fair way to think about things? And then, I guess, any sort of color on gross margins for the rest of the year would be helpful.
Girish Satya: Yes. No, great question. And so yes, we continue to see or we continue to estimate that it will be about a 200-basis points impact. As you noted, it is timing related, just the way that our co-manufacturing partners operate. There's a little bit of a delay in terms of when we see the increased pricing. So starting in Q3, we will begin to see more material impacts related to tariffs. And we do anticipate that plus the onetime charge that we're taking in the quarter related to the packaging refresh will have a sort of dilutive impact on gross margin in the short run. But as noted, as we sort of flip the calendar, we'll be able to really offset a lot of the tariff vis-a-vis the incremental savings that we found. So although we may see some pressure on gross margins in the short run, i.e., in Q3 and Q4, we expect to get back to that sort of mid to high 40s and eventually in the 50s in the long run.
Operator: We'll take our next question from Jim Salera with Stephens.
James Ronald Salera: I wanted to ask some questions just around the consumer panel metrics because it looks like we saw a sequential step-up both in household penetration as well as purchase frequency from 1Q to 2Q. I was hoping you could just give some color around, is that primarily attributable to some of the new flavor launches and bringing new people to the brand? Or is it easier to find Zevia across a broader range of retailers and you're finding that people are kind of keeping their fridges stocked on a more frequent basis? Just any color on that step-up on the consumer metrics would be helpful.
Amy E. Taylor: Yes. Thanks, Jim. Your assessment is correct, actually. So we have increased visibility in the marketplace. That means both increased store selling, if you think about our distribution expansion in Walmart or increased visibility or space dedicated to the brand in traditional grocery. And then what supports that, of course, is innovation. And so we see an uptick in household penetration as well as a really healthy cut of panel data across the board in terms of spend levels with our existing user base, in part because of new-to-brand users and in part because of strong repeat. And as we have our eye to the future and think about our priorities around building brands through marketing, continuing to innovate and strengthen the portfolio and then continuing to drive distribution, this all ladders up to growing the user base for Zevia. So that's exactly what you're seeing in the panel data.
James Ronald Salera: And then maybe just drilling down a little on club. Can you give us any details on what the product rotation looks like there? And maybe there's opportunity to -- if it's multipacks, if there's an opportunity to get some straight flavors in there? Or just any details around how we should be thinking about that going forward?
Amy E. Taylor: Sure. So club is increasingly a discovery channel, a little bit of a treasure hunt. So variety for us is really important there as we win new users in that channel. We are seeing on the same-store basis, record level of same-store sales from Zevia in the club channel, which is really helpful when we think about being distributed on a regional basis and being distributed rotationally. So our goal, of course, would be to be an everyday item and velocity in recent weeks and months would support that idea in the future. Today, we feature a 6-flavor variety pack, and we think that's really well suited for the club member today. And we also have the option, as we've done in the past, of some seasonal rotations for newness, which is always really valued in that treasure hunt environment. But given the pace of innovation and the taste and flavor profile improvements that we're driving through our portfolio, we imagine that club package could continue to evolve in '26 and going forward, both in the everyday variety pack items as well as with some seasonal ideas to help continue to bolster that -- those regional rotations.
Operator: [Operator Instructions] Our next question will come from Daniel Gold with BMO Capital Markets.
Daniel Alan Goldman:
BMO Capital Markets Corp.: I'm on for Andrew Strelzik. How are you weighing whether to let the EBITDA -- the better EBITDA and cost saves flow to the bottom line versus reinvesting those in marketing?
Amy E. Taylor: Yes, sure. How are we -- can you ask the question again? How are we balancing the improved adjusted EBITDA?
Daniel Alan Goldman:
BMO Capital Markets Corp.: Yes, how are you -- whether -- how are you deciding whether to let the incremental EBITDA flow through to the bottom line or to reinvest in marketing?
Amy E. Taylor: Sure.
Girish Satya: Yes. So I mean, look, we're obviously focused on the long run and trying to build a sustainable brand. And in this category, we feel that brand is a real differentiator and something that we want to build a sort of a competitive moat. And so as we think about the year, we're sort of focused both on long-term brand building, but also on short-term velocity driving tactics. And so we will look to balance both driving long-term brand building or brand equity and then in the short run, really be focused on short-term velocity driving activities, and that's probably where we can continue to adjust our playbook as the environment shifts. But we continue to point to 2026 as the sort of inflection point to turn positive adjusted EBITDA. And so in the short run, we're going to continue to bias towards investing to drive top line.
Amy E. Taylor: And Dan, within the year, you've seen us both kind of find our voice in brand marketing and thus invest more on a percentage of net sales basis in marketing relative to the past and yet deliver our first quarter of profitability as a public company. So I think we've got, since Girish has been with us now a year, a good track record of moving toward profitability while still being able to invest in brand. And that's in large part, thanks to the productivity work that we've done behind the scenes.
Operator: And this does conclude our question-and-answer session. I would like to now turn it back to Amy Taylor for any additional or closing remarks.
Amy E. Taylor: Thanks very much, and thanks, everyone, for joining today. As I mentioned earlier, I'm really proud of what the team has accomplished over the last year, and I'm energized by a strong start to the summer. We are laser-focused on expanding the Zevia user base, driving trial, conversion, and retention through our 3 strategic priorities, which are marketing, innovation, and distribution. So combine that with our overperforming productivity initiative, which I just mentioned and demonstrated by our first ever profitable quarter, we're standing on a strong foundation and accelerating toward a future of strong double-digit growth and sustainable profitability. So we're hard at work delivering the back half of the year, and we have a strong plan for 2026, and I look forward to seeing you all again in the next quarter. Thank you.
Operator: Thank you, ladies and gentlemen. This does conclude today's presentation. You may now disconnect.